Hirokazu Umeda: I will now start the Fiscal 2024 Second Quarter Financial Results briefing. Here you can see the point. First the impact of the U.S. inflation reduction after IRA on our financial results and forecast. Further the details rules have not been determined. They seem the amount equivalent to the IRA tax credit and to be shared with customers that are recorded second quarter NPL the same as 1Q. Next the results for second quarter or sales remain the same year-on-year due to increased sales in Automotive and Connect as well as on currency translation despite largely decreased in life style and industry. Adjusted operating profit increased due to increased profit in Automotive and Connect and IRA impact in energy despite decreased profit in lifestyle and industry. If we exclude the IRA impact the AOP decreased slightly. Net profit increased due to mainly to improvements in financial income and expenses on higher interest rates. Operating cash flow for the first half increased year-on-year due mainly to efforts to control inventories in particular reducing strategic inventories. Interim dividend is determined at JPY17.5 an increase of JPY2.5 year-on-year. As for the full year forecast groupwide sales, adjusted operating profit, and operating profit are revised downward, reflecting changes in business environment. But profit before income taxes and net profit remain unchanged. For the forecast by segment, both sales and profit for Automotive and Connect are revised upward, while Lifestyle, Industry and Energy are revised downward. First, the impact of the U.S. IRA tax credit on our results and forecast. The amount recorded for the second quarter and full-year forecast are shown on this slide. Please note that the assumed amount for the full year is raised due to the revised forecast of production & sales and change in the exchange rate assumptions. In the second quarter, for sales, minus JPY25.1 billion is recorded as deduction for the amount to be effectively used with customers. For adjusted operating profit, JPY21.4 billion is recorded after the deduction of the equivalent amount to be effectively used with customers, from the total JPY46.5 billion of tax credit. For net profit, JPY27.6 billion is recorded, which includes JPY6.2 billion of impact of deferred tax assets. For the full-year forecast, minus JPY99.0 billion is recorded in sales, which was not assumed in the initial forecast of May 10, 2023. Adjusted operating profit is revised to JPY85 billion up JPY5 billion, and net profit is revised to JPY110 billion an increase of JPY10 billion, respectively. Now the details of the consolidated financial results for the second quarter were as shown here. Overall sales were JPY2,089.7 billion, the same year-on-year. Sales in real terms, excluding the effect of exchange rates, decreased by 3% figures excluding IRA impact are also presented as a reference. On this basis, sales increased by 1%. Adjusted operating profit increased to JPY99.5 billion and operating profit increased to JPY102.4 billion, respectively. If we exclude IRA impact, both decreased. Profit before income taxes and net profit both increased, due mainly to the improvements in financial income and expenses on higher interest rates. Now the results by segment. For Energy segment, you can also see the figures excluding the impact of IRA. The analysis of year-on-year comparison for sales and operating profit are shown in the next slides. Sales analysis by segment. In Lifestyle, overall sales decreased due to decreased sales of HVAC with Air to Water Heat Pumps in Europe affected by weaker overall demand, and consumer electronics with weaker underlying demand in Asia and China, despite increased sales of cold chain in North America and electrical construction materials with continuous steady growth. In Automotive, sales increased due to recovery in automobile production of our customers. In Connect, sales increased in Avionics, Gemba Solutions and Blue Yonder, despite decreased sales of Process Automation. In Industry, sales decreased due mainly to the downturn in market conditions for FA in China and ICT infrastructure, despite increased sales of products for green vehicles and AI servers with expanding demand. In Energy, sales in In-vehicle increased excluding IRA impact. Sales in Industrial Consumer decreased due to weakening market conditions of batteries for consumer-use and power equipment, despite increased sales of energy storage systems for data centers with expanding generative AI market. Within Other Eliminations & adjustments, sales of Entertainment & Communication increased due to parts & materials, improvement in procurement. In Housing, sales decreased affected by deteriorating market conditions. Adjusted operating profit analysis by segment. In Lifestyle, profit decreased overall due to decreased sales of consumer electronics and upfront investment for HVAC business in Europe, despite increased sales in cold chain and electrical construction materials. In Automotive, profit increased due mainly to increased sales price revisions to counter price hikes in parts & materials, and efforts in cost reduction, despite increased fixed costs, as well as persisting impact of price hikes in parts & materials. In Connect, profit increased due to increased sales in Avionics, Gemba Solutions and Blue Yonder. In Industry, profit decreased due mainly to decreased sales affected by the downturn in market conditions. In Energy, for In-vehicle, profit increased due to increased sales in North America and the impact of IRA, despite decreased sales in Japan affected by reduced production and increased fix costs. Profit decreased excluding the impact of IRA. For Industrial and Consumer, profit decreased due to decreased sales of batteries for consumer-use and power equipment, despite increased sales of energy storage systems for data centers. This slide shows the results of Lifestyle by divisional company. For HVAC Company, additional recall-related expenses are recorded in other income and loss related to the recall of clothes-drying dehumidifiers announced on April 20. Operating profit analysis by factor. From the left, decreased profit from decreased sales in real terms negative impact of JPY10.3 billion. The increase in fixed costs negative impact of JPY20.6 billion due mainly to investments in Lifestyle and Energy, aimed at business growth, and inflation. Price hikes in raw materials and logistics negative impact of JPY2.5 billion. This impact is gradually mitigated. Effect of efforts, such as price revisions and rationalization, positive JPY24.4 billion. Looking at other individual factors, the impact of IRA was positive JPY21.4 billion and increased profit of Blue Yonder was another increase factor of JPY0.9 billion. The breakdown is shown below. The effect of exchange rates positive JPY6 billion, mainly in Industry and Energy. Adjusted operating profit increased by JPY19.3 billion, Operating profit by JPY16.3 billion. The situation of cash flows and cash positions in the first half. On the left, operating cash flow was JPY391.8 billion, increasing year-on-year due mainly to efforts to control inventories and improvements in working capital. In inventories, we will continue to reduce inventories toward optimization of inventory level from the second half onward. Net cash was negative JPY481.2 billion, an improvement from the end of FY 2023. Now shareholder returns, the Board of Directors resolved today the interim dividend of JPY17.5 per share with an increase of JPY2.5 year-on-year. The same amount as the forecast announced on August 31. We will distribute stable and continuous dividends reflecting the progress of our medium-term strategy. We aim to achieve enhanced corporate value; through business growth and increased profit by making investments mainly in our growth areas. At the bottom of the page, our approach to using the IRA tax credit, explained at the FY 2023 March full-year results announcement. Dividends will be determined based on the amount of net profit excluding the IRA impact. Now let me explain the full year consolidated financial forecast. This shows the fiscal 2024 consolidated financial forecast sales is revised downward by JPY100 billion. Both AOP and operating profit are revised downward by JPY30 billion, respectively. However, pre-tax income and net profit remain unchanged from the forecast of July 31, reflecting such factors as the improvements in finance income and expenses by the rise in interest rates EPS forecast is JPY197.07, and ROE 12.0% for rate assumption is also changed, as shown here. Next is by segment, major factors for revision of sales and AOP are explained on the next slide. In Lifestyle, both sales and profit are revised downward due mainly to lower sales of HVAC and consumer electronics, despite steady sales of cold chain. In Automotive, both sales and profit are revised upward due mainly to higher sales with automobile production recovery. In Connect, both sales and profit are revised upward due mainly to favorable sales in Avionics and Blue Yonder. In Industry, both sales and profit are revised downward due mainly to lower sales affected by lingering market slowdown, despite higher sales of products for AI servers. In Energy, both sales and profit are revised downward. This is due to the lower sales and production in Japan affected by demand slowdown for high-end EVs, despite steady sales in North America for In-vehicle, and the slower market recovery for Industrial and Consumer. This shows the forecast for the Lifestyle segment by divisional company. For Living Appliances and Solutions Company, as well as Heating & Ventilation A/C Company, both sales & profit are revised downward. This shows our analysis of full year OP forecast by factor, it explains the changes made from the forecast made on May 10, to elaborate on the revised forecast, the impact of the lower sales in real terms for Lifestyle, Industry and Energy is larger than the improvement by the Forex effect fixed cost reductions. Therefore, operating profit is revised downward by JPY30 billion. Next, I will explain the current situation and future initiatives for the areas that were heavily affected by changes in the business environment during the first half. HVAC business in Europe, Industry segment, and automotive battery business. First, starting with HVAC business in Europe. The upper part shows the business environment and changes from our view when the operating company strategy briefing was held on June 2. The major change is the slowed demand growth of air to water as we entered fiscal 2024. The graph in the middle shows our air to water sales and year-on-year trend, with labels indicating major factors impacting demand. Until fiscal 2023, the market and Panasonic grew significantly, backed by gas price hikes and strong support by subsidies from each government. However, for fiscal 2024 first half, overall demand decreased year-on-year, and so did our sales. This is due to the slowdown in the European economy, gas price drops, and subsidy scheme changes or payment delays in some countries. For the second half, we anticipate that the challenging market condition to continue, despite seeing some signs of improvements. At Panasonic, we aim for a higher-than-market growth at each market we operate in. To be specific, as shown on the bottom, for markets with top-class share position, we will enhance our service business leveraging customer base, and for markets where we want to further strengthen, we will strengthen our sales capability. This shows the outlook of the HVAC business in Europe for the medium-to long-term. We expect the demand to recover, towards 6 million units in 2030, backed by European policies for GAG greenhouse gas reductions. We will take actions flexibility reflecting changes in the market such changes in subsidies, policies, and economic situation. The bottom part shows our progress of the medium- to long-term strategy. There is no change to Lifestyle segment’s focus on investing in hydronic system business in Europe. While we will respond to current changes in business environment, we will accelerate our efforts to strengthen business foundation toward achieving the leading industry position with a medium- to long-term perspective. Next, is Industry segment. Here, I will explain the sales increase and decrease in comparison with the market situation. As shown on the left pie chart, four major industries account for almost all the segment’s sales; automotive CASE, information & communication infrastructure, factory labor-savings, and ICT terminals. On the right, the market outlook and our sales forecast for fiscal 2024 for each area of business. For automotive CASE, the overall market is growing. We expect higher growth with sales growth of devices for green vehicles. For Information & communication infrastructure, the market is expected to decrease largely year-on-year, due to a slowdown in CapEx. However, we expect to achieve the same level year-on-year with the sales growth of products for Gen AI servers. For factory labor-savings, the overall market is expected to grow year-on-year. However, we expect a large decline year-on-year because 40% of our sales come from China, which is experiencing deteriorated market conditions and intensifying competition. For ICT terminals, the market outlook is a year-on-year decrease due mainly to longer replacement cycles. We face a similar trend. Next, the situation of each voluntarily disclosed businesses, Electronic Devices, FA Solutions, and Electronic Materials. The charts show the quarterly results trend. For each business, the sales and profit declined largely in Q4, affected by the sharp demand decrease for ICT terminals and market deterioration in China. FA Solutions continues to face challenges, but Electronic Devices and Electronic Materials show a recovery trend. In Electronic Devices, automotive CASE-related business, which accounts for about 50% of sales show a recovery trend overall, with growth in relays and capacitors for green vehicles. However, we expect to see a slight slowdown in the second half. In FA Solutions, we do not expect a recovery in the second half. Our China business, which accounts for about 40% of the sales, is facing weakening market conditions and intensifying competition. In Electronic Materials, for ICT infrastructure-related business, which accounts for approximately 40% of sales, we see a recovery trend with favorable sales of generative AI-use products. Finally, the situation for automotive battery business. Q2 results are shown on the left, excluding IRA impact, profit decreased year-on-year to a loss, which is a factor for the downward revision of Energy. The reason for this loss is that demand for high-end EVs, which are not eligible for IRA tax credit, according to 30D regulations slowed down more that expected. At Japan factory, until Q1, we produced at a certain scale responding to customer demand. However, from Q2, we adjusted the production to meet the appropriate inventory level, in response to the demand change. The production was down by about 60% compared to Q1, and the profitability of Japan factory deteriorated considerably. Also, upfront costs for future growth are recorded as planned. As a result, we saw a large year-on-year profit decrease for the overall automotive battery business. As shown on the middle-left graph, sales in North America are steady. For the second half in Japan, we will prevent further deterioration in profitability by optimizing fixed costs to align with lower demand. In North America, we will respond to the strong demand, aiming to increase profitability. Thank you your kind attention.
Operator: From Bloomberg, Fudokawa [Ph], please. Thank you.
Unidentified Analyst: [Indiscernible] from Bloomberg. I hope you can hear me. Yes, we can. I'm looking at slide 22. I have two questions. First, Automotive, I think, means Tesla business. It's in red for the first time in three quarters, excluding the IRA impact. Please elaborate on the reasons why? My second question regarding the adjustments or adjusted production at the Japanese factory, what is the projection going forward? The graph indicates that the production level will remain low in the third quarter. Do you expect recovery? And if so, when?
Hirokazu Umeda: Thank you for your questions. Slide 22. The automotive battery, we are in the red. The factors are twofold, basically. One is the situation in Japan, 18650, as has been explained for quite some time. This is for Tesla Model S and X for high-end models. But IRA has a price ceiling up to $80,000. And since those high-end models exceed that level, the demand decreased. Up to the first quarter from the customers, a very strong demand has been indicated. But we did not see that progress as planned. And so, as explained during my presentation, we reduced production by 60% compared to Q1 to achieve the appropriate inventory level. For Q3, production and sales are to be balanced, well-balanced and well-related. Although we are projecting a low level, but even with that, the fixed cost and the production activities will be implemented at that level. At the same time, at the Wakayama factory, 4680 production and development efforts are accelerating. We are making investments. And so, the big reduction in production in Japan, as well as R&D expenses are the two factors. Now, the plant in the U.S., 36 gigawatts is the initial amount. But that has been raised to 37 gigawatts in relation to IRA. And we do see very strong demand for the products produced there. So, domestic production and the R&D expenses are the two factors. For Q3 production, it's indicated on the slide, but the customer is trying to reduce the price of the high-end models to below $80,000 and have the options installed free of charge. Those efforts are being made. So, I think we can expect some recovery going forward. Still, we do not expect big growth like what we see in the U.S. plant. So, we'll be running our Japan factory based on that assumption. Thank you.
Unidentified Analyst: A follow-up question. During the second quarter, I think you stopped the operation of the Japan factory. Is it back in operation again?
Hirokazu Umeda: The line, production line? We have several lines, and they were suspended because we had inventory build-up reflecting a strong demand projection in Q1. And so, to adjust the inventory, we adjusted the production. So, we did not completely stop or suspended the operations, but we tried to strike the right balance of inventory.
Unidentified Analyst: I see. Thank you.
Operator: Next question is Sugiyama-san [Ph] from Yomiuri Shimbun newspaper.
Unidentified Analyst: Sugiyama of Yomiuri Shimbun, can you hear me? Yes. So, first of all, at the interim time in September, excluding the IRA, I'd like to know your evaluation of your business. And another is about the revision of the portfolio. At the time of Q1 announcement, you mentioned that you showed the direction by the end of this fiscal year. So, what about – how is your progress? And what is the size of the revision to the portfolio? Thank you.
Hirokazu Umeda: First of all, about the first half, at the time of the -- or Q2 business performance announcement, there are strong businesses and struggling businesses, and we are starting to see the clear distinction between the two. And the steady recovery was seen in automotive business, which we struggled until last year, and also in connect. And as for other businesses in lifestyle, the cold chain and the electrical construction material and EW, those are showing strength. But consumer electronics and air to water, the HVAC business as a whole, came down. And so, we see the clear differences between those two groups. So, this time, we are revising downward, and we are very sorry that we have to do this. But each business, we are trying to strengthen the structure of each business, and that is what we are thinking at the end of the first half. As for the profit or as for the capital, the operating cash flow, 390 billion or close to that level. So, I think that we are seeing the good progress in that sense. So, in the medium-to long-term, we are trying to make sure that we make investments and also sales activities, and we are very much focused on the level of the capital. So, in that sense, I think we are making very good progress. About the second question, the portfolio, in each operating company, every month at least once or more than once, also BOD meeting, and we have meetings with a limited number of the members. We have mainly three on three that is CEO, CSO, and myself, and also the operating company side. We have meetings and a discussion to talk about the future. And there are some specific examples that we are starting to see, but we will be making announcements whenever we finalize that decision. So, as of today, whether we are making good progress or not is your question, but we are not at the stage where we can make announcements. And about the portfolio management, we are very much focused on that, and as a company as a whole, so when the timing comes, we will make a report to you. And of course, we have to think about the counterparties, so we will be disclosing information as soon as we make a decision. So, there are large-scale ones and smaller-scale ones. There are various possibilities that we are discussing right now so that we can decide on the direction. Thank you. I hope that answers your question.
Unidentified Analyst: Thank you very much.
Operator: So, next person from Toyo Keisai, Umegaki [Ph] San.
Unidentified Analyst: Thank you, Umegaki from Toyo Keisai. I hope you can hear me.
Hirokazu Umeda: Yes, we can.
Unidentified Analyst: I have two questions. First, on the last living appliance and solutions, especially consumer electronics. I understand that the situation is rather challenging compared to your peers. I think you are now reviewing your business. So, what's your analysis of this business going forward? And electronic devices, you expect a slowdown in the second half on a year-on-year basis. You are expecting negative growth. Can you elaborate on the reasons why?
Hirokazu Umeda: For living appliances and solutions or lifestyle overall, as you know, the industry demand itself is below last year's level, not only in Japan, but in Southeast Asia, China, in those markets as well. There were products that did better than others within this area. The stronger ones were the beauty and personal care. For second quarter alone, washing machines and laundry systems and vacuum cleaner. Since we were switching to new models, we saw some suppressed demand. But starting October, we have new products on the market. So, I think we can make a very solid recovery. The new sales price system, we have been pushing for this. And trials and errors repeated some of the products. The price that we propose wasn't necessarily reflecting the value that customers saw in them, especially for large items. So price, appeal, and the speed. I think we have seen quite a bit of improvement during the first half. So, in the second half, we will be very sensitive to the customer demands. Improve on this. The industry itself is suffering right now. But we would like to make a solid recovery. That would be for the lifestyle, the consumer electronics. As for industry, we are not expecting the immediate recovery. And you can see the details of that in one of the slides. Yes, on slide 20. The challenging areas, this is on a full year basis. The factory labor savings, we are expecting a rather challenging situation for that part of the business. For others, automotive case, for example, we expect a strong demand. That's our view on the market. The FAA labor savings, particularly for China. Is it just going to be FY 2024? Well, towards the early part of FY 2025, we expect this difficult situation to continue. For others, automotive case, information and communications infrastructure, or ICD terminals, we can't expect the immediate recovery. But we are seeing the light at the end of the tunnel. So, these are the two qualitative aspects. And if you can look at slide 38. Here, for the automotive ICT labor savings, how much they account for our voluntary disclosed businesses. And it is between these two aspects that we are making that projection. This was the first time that we tried that type of forecast, but we hope that will be helpful to you.
Unidentified Analyst: Thank you.
Operator: We are running out of time. So, we will take one more question from a journalist. [Indiscernible] from Nikkei Asia.
Unidentified Analyst: Hello. I am Sato [Ph] from Nikkei Asia. I am sorry to talk only about the battery, but I have two questions about energy. First question is related to the earlier question. Normalizing the inventory level was mentioned. So, you had a strong demand from the customers, but you had higher inventory and you needed to normalize. What was the situation? So, there was an order from the customer, but you had the inventory. Could you explain that? Also, in Japan, you mentioned that there are multiple lines and you have some not utilized lines. So, are there any possibility that you use those lines for other purposes?
Hirokazu Umeda: Thank you for your question about energy normalization of the inventory. We manufacture in Japan and we ship it by vessel and send it to the United States. So, the lead time is actually long in some cases. So, in Q1, up to Q1, there were different initiatives that we have taken, and we were told to manufacture a lot of products. But as I mentioned earlier, the 30 day -- oh, sorry, 30D, which is for the consumers, and the – we – there was assumption that the consumers, who are not very price sensitive, are going to buy. But of course, we are not in the position to talk about the situation of the customers. But in relation to 30D, the sales of the automobile started to stagnate. And so, the inventories, which were accumulating, we wanted to sell them. And also in Japan, we wanted to reduce the production level significantly. So that was how we tried to manage to normalize the inventory. And of course, the strong demand is not expected, so we have normalized the inventory level. And 1865 line will not be operating fully. So for the different applications and different purposes, those lines can be utilized. So the demand assumption is not going to be very high, and we would be utilizing those lines for other purposes. Okay, thank you. So with – based on the discussion with Tesla upto Q1, you had order. But in Q2, you reduced the production. And for the second point, and you're considering the other purposes other than the automotive or in vehicle – or in the first point, yes, of customer is Tesla, so you're right. And for the second one, we are thinking about the different purposes. But how can I say this? There are customers who need those batteries, so it really has to do with the situation of the customer, so we cannot really make a comment. But for the Tesla 1865, or rather than that, we want to go to the other areas other than 1865 for Tesla.
Unidentified Analyst: Thank you very much.
Operator: Thank you. That concludes the Q&A session for the journalists. We'll now move to Q&A session for analysts and investors. Again, questions will be accepted only in Japanese. From Goldman Sachs, Harada-San [Ph].
Unidentified Analyst: Thank you, Harada, from Goldman Sachs. Two questions. First, Blue Yonder. On a standalone basis for the second quarter, a fixed cost increase resulting in a red figure, but on a full-year basis, red figure turning to profit. So what is the current situation, acceleration of sales and other P&L perspective? That's my first question. Second question is on energy. In Japan, you did explain the situation in Japan about Pena, Panasonic Energy North Markup. I understand that the models in Tesla are changing, and therefore figures look weak, but price pressure and resulting in demand slowdown, is that happening as well?
Hirokazu Umeda: First question, Blue Yonder. In the second quarter, of course, compared to last year, profit did go up, although it's in the red because of the intangible asset amortization and other factors. Sales orders are increasing steadily. Our usual slide, the three quadrants, you can see there that revenue and recurring ratio, they are all increasing, as you can see. So why is it in the second quarter we posted a red figure in loss? On a full-year basis, it's doing better than our expectation, and therefore the labor cost, personal costs increased in the second quarter, including some from the past, the incentive programs or the bonus payments being made, which pushed down the profit in the second quarter. And of course, there are strategic investments that will continue in the second half, that is to expand and also SaaS. From on-premises to a cloud, those transitions are a factor as well. So the year-on-year growth is expected to be better than in the past, and therefore in the second quarter, we recorded increased personnel cost due to the upward revision for the full year, including some from the past. As for Pena business, one gigawatt increase in capacity, and that is the basis of our IRA calculation as well. And volume, 5 million has been exceeded, sometimes 6 million cells. We are at that level already, but this is the customer's situation, so I can't really comment on that, but some transitions are taking place. So although we have been producing, they were not accepted as planned, but in our long-term collaboration, on a quarterly basis, there are ups and downs. And so Pena is seeing increase in revenue and profit. And so automotive battery, the situation in Japan and 2170, that will be used in Kansas production as well as 4680, investments related to those developments push down the profit. Thank you.
Operator: Next, Okazaki Yu from Nomura Securities.
Okazaki Yu: Okazaki from Nomura Securities, thank you very much. First question is about energy. Slide 22, in the medium to long-term, the domestic customers and the product enhancement are mentioned. So what is the message here? Could you explain that? The second question is about lifestyle. The HVAC and the lifestyle appliance, I think, struggled. Earlier, there was a question about the price, new price scheme. I think you are continuing with this. And the competitors also started to do something similar. So in the second half to next year, the lifestyle business, what would be the competitive environment about last?
Hirokazu Umeda: Right, on page 22, energy. Which part was it? Right, in the medium to long-term, the customer base and the product enhancement. As we announced already Matsuda, Subaru, those are the customers. And as we mentioned previously, the various other customers are discussing with us. So as for Japan, 1865, which was for Tesla, and we used all the capacities until now. But rather than having just one single customer and not really sticking only with 1865, we want to expand the customer base so that domestic plants can have expanded production and product line up. That is our intention in the medium to long-term. So that's about energy. And another about the new price scheme, yes, according to the media, Hitachi has introduced this system. And the motivation, according to the reporting of the mass media, we understand that what they are doing is similar to what we have done. So to provide true value to the customers, and we want to make sure that we can develop such products and we want to have a good cycle of products. And we want to provide it at a reasonable price so that the customer can buy them. So to have other companies joining us, I think for the consumer electronics industry in Japan, manufacturers and logistics and others, I think it would be win-win also for customers. So that is the way of thinking to promote this scheme. And by doing this, whether anything negative would happen? No I think we are really thinking that we are heading toward the same direction and we are working together. I hope that answers your question. Thank you.
Operator: Thank you. Next, from JPMorgan, Ayata-San [Ph].
Unidentified Analyst: Thank you. Ayata from JPMorgan. Two questions. First, Blue Yonder. I'm looking at the numbers related to Blue Yonder. I'm looking at the eighth page of your supplementary information. Standalone on a dollar basis, adjusted OP, excluding various expenses. For the second quarter, $7 million or so, an OP margin about 2%. And Umeda, you said earlier that the number of people has been increased quite a bit. That's my interpretation. What's the projection for the second half? Anything you can share with us? Q-on-Q, revenue hasn't increased that much, but fixed cost has gone up quite a bit. So maybe for the second half, we should expect adjusted OP margin, similar level, excluding various expenses or not. And also last year you talked about the impairment risk in this business. What is your current view of that risk? My second question. Slide 17, full-year profit revisions, forecast revisions. Exchange rate, JPY33 billion plus compared to the original forecast. Do you have any numbers regarding five different segments? I think they are pluses and minuses. So could you give us that breakdown by five different business areas? Thank you.
Hirokazu Umeda: First, the Blue Yonder. On a full-year basis, revenue and profit projections, we have made an upward revision. And on top of that, for the second half, I think you can see you have to do the math for the second half, especially for the additional strategic investment, start number one. We will be implementing this for cloud business, others. And for synergy investment, again, on a full-year basis, maybe JPY1.6 billion or so. So in our original forecast, we expected this year to be at the bottom. We expected the loss to be large this year. So at the beginning or in our announcement in May, Higuchi San and Duncan, gave you the strategies. And we are operating based on that strategy. Now compared to that, the adjusted operating profit has been raised upward 3.6. And this is the difference that comes from whether you reflect the exchange rate differences. So maybe 10 billion or so loss might be continued with this additional strategic investment. So as to ensure the growth in fiscal years 2025 and 2026, as was explained during the briefing made earlier. Now, regarding the impairment loss risk of Blue Yonder, we are referring to the interest rates for 20 years in the U.S. maybe higher than what we were assuming back then. But in addition to that, in addition to higher interest rates, we can also compare to the peers. And based on that method, especially maybe NASDAQ is too broad, but again, share price multiple is increasing overall. So the impairment test is largely affected by the discount. A method as well as how we do compare how we compare to our peers in terms of multiples. And we have revised upward our full year profit forecast. And we don't see signs of the factors that will warrant the impairment loss. And therefore, as of now, we don't see any risk of impairment, be it any signs or not. As of January 1st, the impairment test will be implemented for the goodwill. So at that time, we will look at the long-term interest rates for the long-term bonds in the U.S. and how the peers are doing. But as of now, we feel that all those factors are satisfied and therefore, no need for impairment loss to be posted. Now, your second question. Yes, the exchange rate impact in our case. Although it doesn't show here, U.S. dollar, euro are the main currencies that affect us. One yen depreciation of the yen would push up the profit asset for China. Renminbi, one Yen out of 20, that's JPY6.7 billion impact. That's the sensitivity. 1.1, 1.3 billion in the early currency. So JPY130 to the euro was, and the dollar was our original assumption, but now that's being raised to 141, 150. No change regarding renminbi. So renminbi will affect the lifestyle business. And as for euro and the dollar, changes industry and energy are the businesses that will be affected. The industry and energy, we revise downward the profit, but in terms of the foreign currency exchange impact, the positive impact is being felt.
Operator: Thank you. We are almost out of time, but there are two people who have questions, so I'd like to take one question per person. From SNBC Nico, we have Katsura-San [Ph].
Unidentified Analyst: Katsura from SNBC Nico, thank you. Yes, so one question. On page 21, industry the way of thinking. In the second half, how do you see that? So this time you made a downward revision for electronic devices and electronic materials in Q3, Q4, you see the decline, but the phase solutions in Q3 would be bottom, and Q4, the recovery is expected. So this time, the industry, the revision, the overall industry factor and Panasonic-specific factor, if you can explain those two. And also, toward the next fiscal year, the direction, you already commented on this to some extent, but the FAE solutions in China and others, if you have some additional comments.
Hirokazu Umeda: Yes, on page 21, what I said, especially the Panasonic-specific factors, the FAE solutions, 40% is a China business. So this percentage for us is high, especially the small size, the motors, the product like that, it has been suffering in China. So in a sense, this is one of the characteristics of Panasonic. Also, the electronic devices and materials, the automotive and the generative AI-related are strong. But other than those, the ICT, general ICT or existing ICT-related business, semiconductor materials business, we are not seeing the signs of recovery. So those, I think, are same as the industry as a whole. That is our understanding. So answer to your question, especially the FAE solutions, the percentage of China business is high because we don't really do this business in the United States. So changing or shifting to Asia or changing to the different destinations or to have come up with a product strategy specific to China is another way that we are thinking of improving this business. Thank you. That's all.
Unidentified Analyst: Thank you very much.
Operator: Last question from Morgan Stanley, [Indiscernible].
Unidentified Analyst: Thank you, Ono, from Morgan Stanley. In lifestyle, the second half the recovery, I think you are expecting rather strong recovery, especially the LAS and HVAC in both businesses. You are expecting some increase in profit more so than you indicated in your narratives. So what will be the factors for that?
Hirokazu Umeda: Okay. Slide 31. Here you can see LAS and HVAC, the difference from the last fiscal year. How are we to turn from reduced sales and profit to increased sales and profit? Yes, somewhat bearish, but there are some factors, especially for LAS year-on-year. Usually after November or so, or last year in November and onwards, the COVID had an impact in China. So we can expect a rebound from that. And also second half, we have a good market share in laundry and cleaner. We are launching new models. And also for beauty and personal care, we expect strong business there as well. And so for the second half for LAS, living appliances and solutions, we are to increase our market share for increased, better results. As for HVAC company, here again, air to water, our assumption is in the first half, the industry itself was below last year's level. Whereas for the second half, there's air conditioning, the cooling function, but there is a heating function, which will see a demand growth as we move towards winter. Now, the gas prices had a major impact in Poland. Gas price policy is likely to change. We are seeing some signs of policy change there. In Germany and France in this large markets the subsidy policy is continuing. And therefore the market share itself in the first half, we increased a bit. And for the second half, as indicated in our presentation material, in the growing areas we are to increase the market share by solidifying our distribution channel. That is the outlook for the markets to further strengthen business. So there is a difference from market to market. But for lifestyle, the way I see it is that cold chain solutions and electric works, there's two companies expect a bit weaker second half, which I am hoping will be made up for by last. That's my personal view. Thank you.
Operator: Thank you very much. With that, the fiscal 2024 Second Quarter Financial Results briefing has come to an end. Thank you very much for your participation today.